Burkhard Lohr: Ladies and gentlemen, welcome to our third quarter conference call. Q3 was a challenging quarter for us. Although the market environment remained supportive and our production in Bethune is nicely improving, we are hit by the extreme drought. Nevertheless, the performance in Germany we discussed last time is showing first signs of improvement. Let’s have a closer look on this and the implications for the remaining months in 2018. After a brief presentation, the team here in Kassel will be happy to take your questions. Let’s start with the highlights of the third quarter on Slide 3 and let me start with some positive highlights. Our revenues rose again year-over-year and quarter-over-quarter. In potash, this was due to higher pricing mainly in overseas MOP markets and the further increase of our Canadian production. The ramp-up of Bethune is making good progress and quality, as well as quantity has again improved. In salt, the North American de-icing business benefited from a strong prestocking. Compared to last year, we increased the volume of de-icing salt by more than 500,000 tonnes. However, this overall positive development was overshadowed by the severe and ongoing drought in Germany. We stopped production of two of our three Werra sites, which resulted in more than 50 outage days. Moreover, we were forced to use additional shipment of saline wastewater for off-site disposal. And the unusual low water level increased freight rates substantially. All in all, the potash division had to absorb a weather-related burden of about €18 million. Furthermore, salt earnings showed a €15 million freight cost headwind. As a result, group EBITDA decreased to €36 million. Nevertheless, on the back of significantly lower CapEx, our adjusted free cash flow showed encouraging improvement. Let us have a closer look at the market conditions in our potash and salt businesses on Slide 4. Overall, the potash market remained supportive. Demand is solid and many producers are already fully committed into 2019, which is also reflected in current pricing. This is especially relevant for our overseas MOP markets. But please remember, 2/2 of our revenues were generated in Europe and the specialty products. Here, prices are more stable and lagging behind the positive price momentum in overseas MOP markets. In salt, we do see a mixed picture even though positive in total. After the bidding season in the de-icing business has come to an end, demand seems to be strong in the U.S. Midwest region, demand in Europe and Canada looks slightly improved ahead of the upcoming winter. However, after mild winter in the U.S. East Coast, prestocking in this region is shy and competition remains tough. Overall, market conditions for our non-de-icing businesses are intact. Bottom line after the first nine months, potash prices have moved into the right direction. But overall, rising cost inflation needs our attention. For example, freight costs increased price related by more than 5% in the first nine months compared to last year. And even on a group level, we expect an increasing trend for the quarters to come. Let’s move to Slide 5 to give you an update on our production performance. In our last call, we provided you with a lot of insight into the German production. As expected, the performance at our Werra mine has started to improve in the last quarter. The lack of employees and our illness rate improved, and our machinery and equipment was partially replaced. At our Neuhof plant, the loss of production was similar to the second quarter. Nevertheless, the issues are under control now as we have installed most of the new production technologies by the end of Q3 2018. Looking at Bethune, we are able to increase production quarter-over-quarter. And this positive trend continued in the fourth quarter as we reached in October a new production record. On top of that, the seasonally lower temperatures helped to cool down our product easier. In addition, in Q4, we are going to install a temporary grinder pump. Both effects should further increase our output. All in all, we put very high efforts to tackle our production issues. On Slide 6, we’d like to talk to about the very unusual weather situation here in Germany. Due to the severe drought in Germany, we had to stop our Werra production at Wintershall and Hattorf in September. To improve the situation, we have further expanded our basin capacity by more than 10% to about 600,000 cubic meters and also stretched our logistics for off-site disposal to a new limit. Therefore, we are able to restart the production by the end of September. Just as a reminder, without the additional measures we have implemented already last year, we would have to have stopped production back in June. And very important is to look into 2019. In 2019, we will further significantly expand our capacity to store saline wastewater on-site and that will make us even more robust next term. Nevertheless, water levels in Germany remained extraordinarily low. The rainfall, as been seen so far in the final quarters, is clearly below the five-year average. Due to all our countermeasures, we have now secured production to the beginning of December. Nevertheless, we cannot exclude additional outage days until the end of 2018. In any case, we do expect further extensive shipment of saline wastewater for off-site disposal in Q4. On top of that, inland shipping is increasingly impacted by low water levels and causing overall higher logistic costs across the group. And what does that all mean to our full year 2018 guidance? And therefore, please turn to Slide 7. Overall, demand in potash remains robust, and we expect a positive impact on pricing on our full year EBITDA. Increasing profitability of our Bethune mine and tangibly higher salt volumes will also help the situation. However, the production issues at our German mines, FX development and Shaping 2030-related costs will negatively affect our full year results. The outage days in Q3, extensive off-site disposal on the back of the ongoing drought and inflated logistics costs will reduce this year’s EBITDA. We expect additional wastewater volumes and related freight rates having an impact of up to €20 million in Q4. Bottom line, we are reducing our EBITDA guidance to €570 million to €630 million. This year’s cash unit costs in potash is now expected to be around €215 per tonne. Excluding the weather- related outages in Q3, we would have been well in line with our previously guided range of €205 to €210 per tonne. Potential additional outage days in December are not part of our full year EBITDA guidance. The upper and lower end of our guided EBITDA range is mainly determined by the weather situation in Q4, both for the de-icing business as well as for river water levels and the implied logistics costs. The adjusted free cash flow should improve significantly compared to 2017, mainly on the back of lower CapEx. Finally, let me give you a first rough idea about 2019, and therefore, please move to Slide 8. We have done our homework with respect to our several production issues. From next year on, our operations excellence program will further increase our productivity to stop the impact of declining K2O content in Germany beyond 2019. In Bethune, we are making good progress to meet our 2019 guidance of 1.7 million to 1.9 million tonnes, an increase of 300,000 to 500,000 tonnes. All together, 2019 should show a much better operational performance. Nevertheless, this year’s outage days had a negative impact on our Werra volume of about 200,000 tonnes. Including the operational improvement, we expect an increase of our Werra and Neuhof production by more than 500,000 tonnes in 2019. The closure of Sigmundshall will reduce our next year’s production in Germany by 600,000 tonnes, which, however, will have a positive impact on our profits. Cost of production should come down tangibly. Still, cash unit costs will stay above €200 due to overall cost inflation. And all in all, we confirm our target being free cash flow positive in 2019 on the back of improving operations, CapEx discipline and our working capital management. Ladies and gentlemen, thank you very much for your attention. We are now happy to answer your questions and as usual, please, one by one.
Operator: Thank you. [Operator Instructions] And the first question comes from the line of Michael Schafer from Commerzbank. Please go ahead.
Michael Schafer: Yes, good morning gentlemen. Thanks for taking my two questions. The first one is on logistics costs. You talked a lot about this one also in the second quarter. So also, with the outlook you provided for the fourth quarter, I wonder whether you can provide us some quantification on the overall logistics bill increase you’re facing in 2018 and maybe a bit of split into P&M and salt. This would be my first question.
Burkhard Lohr: Yes. Thank you, Mr. Schafer, for that question. I think I mentioned that we had additional costs in Q3 alone of €15 million, and the year started with higher logistics costs in the U.S. in the de-icing salt – in the salt business. Remember that we were talking about 15% compared previous year. I think that was the number in Q4. That has also slightly increased further in the following quarters, in the second and the third quarter. Now we have this extraordinary situation in Germany. As you are located in Germany as well, you should be well aware about that. So the ships can only load 3/4 of the normal load. That means the freight costs concerning the river transportation partially is four times the bill it was in the past. That is not sustainable. I think once we have normal river levels again, that should come back. But we have taken into account with our guidance a significant higher freight cost number in Q4 than what we have seen in the year before.
Michael Schafer: And this is done basically evenly split between P&M and salt? Or how should we think about this one?
Burkhard Lohr: Michael, you have on the one hand the brine transportation in Germany, which mostly affects potash. The lower river levels, when we want to bring the salt product to the customers, plus we have still the issue with the truck drivers shortage in the U.S. So my gut feeling is it’s a 50/50 split of the higher logistics costs.
Michael Schafer: Okay. Thanks. My second question is somewhat related to this one. You talked about 2019 that you significantly have increased your on-site storage capacity. So I wonder, from this logistics build you’re facing in 2018 with all the outages, et cetera, so what should we think about the relief potential from having all those measures on kind of normal precipitation and water flow levels at Werra? So stripping out all those outage-related costs, which part basically is recoverable from this perspective heading into 2019?
Burkhard Lohr: Yes. I talked about a significant increase of storage capacity for saline wastewater in the Werra area. And the 600,000 cubic meters I mentioned for the basin capacity we have in hand already, although it’s quite full. But we will have additional 400,000 cubic meters temporary storage capacities in an old mine in the Werra area. And that means that we, in total, have 1 million cubic meters. So assuming that we get these basins empty again, we have 1 million cubic meter, and that should be good for a very, very dry summer. So we are a little bit more relaxed for the future concerning the risk having penciled and the impacts you know. So when we come up with a guidance for 2019, we rather have now – not the assumption that we have further standstills but the transportation costs for water. Is that what you were asking for?
Michael Schafer: Yes. It sounds like – at least that’s a fair assumption, that those kind of additional transportation costs to get rid of the wastewater, that these type of costs are gone basically by 2019 from …
Burkhard Lohr: Not totally because there is some obligation for us to bring waters to the offshore mines like Bergmannssegen-Hugo and most probably next year as well, which are available for us in this extraordinary situation, and we cannot just not bring any waters into these mines if we don’t need it. So there will be some transportation costs. But of course, on a much lower level than we have seen in 2018.
Michael Schafer: Okay, thank you.
Burkhard Lohr: Welcome.
Operator: The next question comes from the line of [Indiscernible]. please go ahead. [Indiscernible] your line is now open. Please go ahead with your question. Could you please check if your line is muted? Okay, if we got no response from…
Unidentified Analyst: Hi, sorry. Can you hear me?
Burkhard Lohr: Now we can hear you.
Unidentified Analyst: Thanks so much. Thanks so much for taking time to ask my questions. I guess I have three main ones, but let’s do them one by one. The first one is more related with the current situation of your potash production in Germany. You have mentioned when you reopened the site in Werra that you didn’t expect any more production outages in 2018. Now in this presentation because the water volumes remained very low, you have kind of opened the possibility that there may be more production outages. And whether – even though I understand it’s completely a noncontrollable factor, I would just welcome a bit more transparency, which, in terms of if kind of the precipitation will have remained at the current volume, my understanding is you’re not able to put enough water into the river comparing with what you produce. And so how much longer will it take – or how long can you withstand without having a production outage? That’s basically my first question.
Burkhard Lohr: Okay. First of all, I think – I hope that everybody understands that weather – to predict the weather effects on our production is a very, very difficult thing. So we always have to work with assumptions. And as I mentioned earlier, we have now 600,000 cubic meters of storage tonnes capacity available. And as we had no heavy rainfall and the Werra is showing roughly six, seven cubic meters, a second river flow but we need 30 for normal – in a normal situation, that means that we have to bring a lot of our production saline waters into this pond. And once the ponds are full and the river has still a low level, we have to shut down production. So assuming that we have no change in the current situation, we are able to continue with our current available pond volumes until the beginning of December. And then it depends on will it rain in December, will we have only a couple of days standstill or a longer period. I easily cannot tell you. That’s why we have to exclude that from our guidance.
Unidentified Analyst: No, I appreciate that. But that’s exactly the kind of information that I was looking for. The second question I have is just kind of a more long-term view on this mine and again, just kind of for me to understand a bit better how the company is thinking about it. My understanding is that from 2017 – so I mean, roughly every year now, you’re having smaller or bigger problems. And so it just feels to me that there’s not a lot of buffer. I understand that weather conditions were dramatic, but there’s not a lot of buffer. And so my understanding as well is that from 2021, you have to stop doing the deep-well injection. And that also from 2021, your current agreement with the government – with the regional government is that you have to drop the salinity content of the water by about 33%. And so in my numbers, which may be wrong, you – this is about like – you basically put 50% less wastewater so both ways combined. And so my question here is, what is the solution? And I’ve heard you guys talking in the past of a pipeline, but you always admitted that that’s quite a hard political solution to implement. You’ve been talking in the past as well of using your processes. But it just feels very non concrete and 2021 is fast approaching. And my understanding as well is that you will have to, at some point, do one million West deep-well injection over the next three years because of this settlement you’ve done. And so it just feels like the time is kind of running short and there’s not a very concrete solution. I just wanted to know if there’s any update on this.
Burkhard Lohr: You have mentioned a lot of aspects of our environmental strategy for the Werra area. But the short message is we’re getting more and more robust, more and more robust. First of all, in the short term and maybe – may I also add, this situation is so outstanding that not only K+ S has problem. Much bigger companies, which are dependent on the River Rhine and other rivers, are facing the same situation. And I also mentioned in my speech that we have already prepared a lot of measures. Otherwise, we would have stenciled a larger amount. Next year, we will be more robust with this 400,000 cubic meters additional storage capacity. But you’re right, our deep-well injection permit runs off in 2021. And by the way, out of the 100 – out of the one million that we promised not to use to the BUND that we mentioned, already half is done. It has been done this year. The – we are currently negotiating with the authorities the solutions. The most probable outcome will be that we discharge our waters not only temporary but sustainably in the old mine areas at the Werra and that needs no transportation costs. That means it’s up to us how much we discharge daily. And currently, we have a daily limit of 5,000 cubic meters for the deep-well injection, and that is a problem. And once we do this discharge in the Werra – in the old mines, and we are talking about huge volumes, there’s possibility to run the mines until the end of the lifetime in the 60s and still discharge it there. Then we are almost totally independent from situations that we have been facing this year.
Unidentified Analyst: Got it. That’s very clear. And regarding the – and am I correct – I mean, I just read this on the plan that you had done with the authorities. Is it correct that the saline content of what you’re putting into the river also drops a lot in 2021 or not?
Burkhard Lohr: As what I just explained to you, this is a completely new concept. And therefore, we would not need a pipeline anymore. We also talk about this threshold. But it’s too early to give any results.
Unidentified Analyst: Understood. And my last question, if I may, which is a bit shorter is just in terms of the logistic costs. If I understood correctly what you said before, you said that about the impact on Q3 alone was about €15 million and it was roughly evenly split between potash and salt. Could you give us a sense on the potash side how much of it is due to the wastewater, which it should be non-recurring element, and how much of it is due just to higher shipping costs worldwide due – that are just the reality? And that’s the first part. And the second part is, can you give us a sense of how much of these two things you’re passing to consumers or not?
Burkhard Lohr: Yes. I’m not sure if I can tell you – give you by heart all the numbers you are asking for. But the €15 million I mentioned, €15 million, that is only salt.
Unidentified Analyst: Yes, sorry, €15 million.
Burkhard Lohr: And that was – has nothing to do with our saline waters transport. Another number I can give you, the saline water transport and with all the freight cost increase effects that we have on that transport as well will be roughly €20 million in Q4, and that is all incorporated in our guidance.
Unidentified Analyst: Got it. And so the €15 million of transport cost is only on the salt business. Do you also have increased logistic costs on the potash business? I mean, shipping rates have been going higher and you also have to ship the product in Germany. And so do you also have a higher number on there or there is no problem?
Burkhard Lohr: Yes, yes. And if I remember correctly, it’s close to €10 million.
Unidentified Analyst: Understood. So it’s €25 million total, both businesses combined. Is that correct?
Burkhard Lohr: Yes, yes.
Unidentified Analyst: Thank you very much for your time.
Burkhard Lohr: You’re welcome.
Operator: The next question comes from the line of Christian Faitz from Kepler Cheuvreux. Please go ahead.
Christian Faitz: Yes, good morning gentlemen, thanks for taking my two questions. First question would be you’re cutting CapEx spend by a good €100 million compared to your last guidance. Which projects so late in the year have been kept? Can you list that a little bit? That’s my first.
Burkhard Lohr: Yes, thank you for that question. We have not started in this quarter to be very, very strict with all cost items. We knew that we are running into a difficult year. It started with the operational performance, which has tremendously increased. And then we had the drought situation, and we have been working on saving CapEx and saving costs, but not in the magnitude that we have, of course, now or in a future negative impact. And the roughly €100 million is the result of a lot of small items. Some postponement into next year, but it will not drive our CapEx over the – guided to €600 million in the next year because we will continue to be cautious. And so I cannot name one or two project, but it’s a long list of small items. And again, a smaller number out of the €100 million is postponed into next year.
Christian Faitz: Okay, great. Then second question, you already mentioned the good performance of Bethune already also in October, record rates. What is your current annualized run rate for Bethune?
Burkhard Lohr: Yes. We stick to the number that we gave. First of all, I’m really happy and proud on that development. We were facing the problems that you know and we have solved them in a tremendous way, and we know there are two more steps. We will implement the final grinder pump. Now we are working with a temporary. And once the cooling facility is installed, we have reached the quality that we are looking for and the production process and the flow that we are looking for. Currently, we are able to deload the rail cars with free-flowing material. It’s really, really good. And we have one week after the other a new production record. So it took us a little bit time in Q3 to get to that performance that we – while we are ending more at the lower end of the guidance that we gave of 1.4 million to 1.5 million. But we are pretty sure that we will achieve the range 1.7 million to 1.9 million for 2019.
Christian Faitz: Okay great thank you very much.
Burkhard Lohr: Thank you.
Operator: [Operator Instructions] So the next question comes from the line of Thomas Swoboda from Societe Generale. Please go ahead.
Thomas Swoboda: Yes good morning gentle men. I will limit myself to two questions. On potash prices in Europe, the gap to the other spot markets – big spot markets is a little bit bigger than usual. I’m just wondering, what kind of feedback are you getting from your European customers? Is it a good chance that this gap will narrow going into 2019? Or is there any big – bigger than usual resistance to higher prices in Europe?
Thorsten Boeckers: No, Thomas, demand is strong in Europe. The same why European prices are recovering a little bit less fast at, for example, it's – that they have fallen strongly when we look into the last decline of the prices between 2016 and 2017. And so we do see a strong recovery there. We – I mean, it all depends on the demand – predemand for the next spring season. But we haven’t heard anything that would hinder us from seeing a good season there at this point in time.
Thomas Swoboda: Perfect. Second question is kind of a follow-up on the cost inflation discussion. I mean, thank you very much for giving us indications on the logistic costs. But you probably have already good visibility on wages and energy as well. Would you like to give us some guidance on the cost inflation here going into 2019?
Thorsten Boeckers: I don’t want to dig too much into detail there. I mean, to some extent, we are limited to strong increases, for example, in gas prices because we have hedged ourselves into the – in fact, beyond 2020 even – and the biggest consumer here for gas is certainly Bethune. We would still feel oil price increases via our suppliers for logistics certainly. When I take everything together, I would say on our cost basis, cost inflation of 3% to 4% is not – wouldn’t be unusual.
Thomas Swoboda: That will be including logistics, so all in?
Thorsten Boeckers: That’s all in. It’s all in, yes.
Thomas Swoboda: That’s perfect Thorsten thank you very much for this.
Operator: The next question comes from the line of Andreas Heine from MainFirst. Please go ahead.
Andreas Heine: Two questions please from my side. The first is on the unit costs guidance you have given for next year being above €200. Can you elucidate a little bit what – how you get to this bridge from this €205 to €210 you would have without water issues? So looking at that, Sigmundshall is close, which has above-average costs, and that the increase at the Werra with things which have not to do with the water flow should have reduced the cost quite significantly. And in addition, of course, the increase in the production of Bethune is that is running smoothly. So I have expected, I have to say, a number slightly below €200. And that’s my first question.
Thorsten Boeckers: Yes. Andreas, you’re right, but we said already in the last call – and as I wasn’t, that we expect in the midterm certainly a number below €200 per tonne, but not for 2019. We are not yet back where we want to be with our German production. Burkhard described our progress we are making there. On the other hand some things like machinery availability and lower K2O content will also follow us in 2019 and will limit our ability to produce. On the other hand, we see a good contribution from Bethune. So on average, Bethune is already today lowering our average production costs, but we do not see a number below €200 for 2019 yet. And I also talked about the cost inflation we’re going to see. This was the question from Thomas right before you.
Andreas Heine: Okay, good. Happy on that. And then maybe just an update on Bethune. So the target was to achieve to be EBITDA- plus this year. Can you confirm that, that is the case?
Burkhard Lohr: Yes, I can confirm. And it will be a midsize double- digit amount, the EBIT number – sorry, EBITDA number, of course, for this year. And I also confirm that we want to achieve EBIT breakeven next year, and that is doable with the rate production range that I gave you.
Andreas Heine: Thanks.
Operator: The next question comes from the line of Patrick Rafaisz from UBS. Please go ahead.
Patrick Rafaisz: Two questions for me as well. The first would be on the bridge into 2019. Is there any reason why we should assume that the €80 million impact you flagged for the outage days, Is there any reason why we should assume that, that doesn’t reverse 100% next year?
Burkhard Lohr: No. Again, it’s a question taking into account the weather situation. So if we have in the next couple of months a situation with heavy rain and we are able to empty our basin, our ponds, again, 600,000 cubic meters, and we get the approval with what I expect to store the 100,000 cubic meters in the Werra area temporarily. So we have one million cubic meters available storage. Then it is very improbable, very improbable. But that – there’s other two requirements. First of all, we must have a window where we empty this basin. And again, the second step has to be approved by the team and the authority here. I expect they will do it. And then we are very, very robust, and then we can skip the €80 million impact or we will not see that again.
Patrick Rafaisz: Okay thanks. And the second question on salt, you lowered the guidance a bit here on EBITDA from flat to slightly down. What has changed in your outlook? I mean, the freight and logistics costs, you were already aware of during Q3 and we already talked about that for the second quarter. I think it was about a similar amount. So why did you become a bit more cautious here?
Thorsten Boeckers: Yes. Patrick, it’s mainly the logistics costs indeed which are overcompensating the positive benefit from higher volume and better prices.
Patrick Rafaisz: But the logistics costs are nothing new, right? Or did it get worse?
Thorsten Boeckers: Yes, but they do continue to increase. And I mean, last time we spoke, we haven’t expected that Q4 remains as dry as it does, for example, in Germany. And we talked about fleet surcharges – freight surcharges because of low water levels, and this is something which comes on top to what we have known.
Burkhard Lohr: To give you one example, when – in the past when we have shipped our salt, and we’re talking salt now, to France, it was a number slightly below €10 per tonne. Now we are talking €40. We could not know this development as we had our last call.
Patrick Rafaisz: Okay, good example. Thank you very much.
Operator: The next question comes from the line of Philipp Currle from DZ Bank. Please go ahead.
Philipp Currle: Yes, good morning and thank you for taking my two questions. The first one is on Sigmundshall. You expect a negative EBITDA effect of €20 million in 2018. I think as a result of the plant closure at the end of the year and the resulting significantly lower productivity, is this value still valid? Or have your expectations deteriorated further?
Burkhard Lohr: The value is still valid. And I really have to say respect to everybody engaged, they’re doing a tremendous job taking to account that they’re closing their mine by the end of the year. They have no extraordinary negative development to see, and we are not expecting this until the end of the year.
Philipp Currle: Okay. Thank you. And the second question, you started with the realization of synergies in Q3. I think the synergy target is €150 million by 2020. Is there already a first success? And how high the amount realized?
Burkhard Lohr: There is good progress. We have started implementing the measures that we have defined for the admin areas. And we have identified a lot of measures in our operations that is even the bigger lever. We have – and that we will implement – start implementing them from next year on. We also have started our synergy program in procurement and in some other areas. But as we have guided this year, costs for making that happen and the synergies equal more or less. The first positive net effect will be in next year. And by the way, I confirm again the €150 million, but that is after 2020. So the first year of the net €150 million plus fixed number will be 2021. It was always the plan.
Philipp Currle: Okay. Thank you.
Operator: The next question comes from the line of Neil Tyler from Redburn. Please go ahead.
Neil Tyler: Good morning. Two questions from me. First of all, to clarify on the water issue. In order to be able to empty the basins, do you require above-average river levels? Or will things return into a sort of five-year average rainfall level, fill rivers sufficiently for you to be able to do that? That’s the first question, please.
Burkhard Lohr: We would need a normal rainfall for this season, a normal rainfall and a normal river level but – not only for a couple of days. It would be rather a couple of weeks we need.
Neil Tyler: So literally two weeks of normal rainfall and you could empty the basins that are full currently?
Burkhard Lohr: No, more than two weeks. But normal weather situation for this kind of year for the next two – I cannot give you a number precisely. But if we would see from now a normal weather which we normally see in Germany in December, January, February, March, we should be done with this problem. So no extraordinary rainfall or floods needed for that.
Neil Tyler: Very good, thank you. Second question on the salt business. Does your guidance imply any Q4 volume caution brought about by early-season demand? I.e. do you think your perhaps customers have bought early in the third quarter and therefore, Q4 demand might not be quite so robust?
Thorsten Boeckers: We have seen a good prestocking in the third quarter, but it was not in that way that we say many have bought what they actually would buy in the fourth quarter. So we have incorporated in the fourth quarter more or less a normal quarter. And yes, I mean, in the end, this depends on if we see cold and wet weather or not right. This determine, in the end, the sales volume.
Neil Tyler: Okay. Thank you. I might just chance another one very quickly. Bethune, do the ongoing product issues impact the realizable price of the product you’re selling? Or is it really just a volume issue at the moment?
Burkhard Lohr: No, it is only a volume issue. We have no – we are selling to market prices.
Neil Tyler: Okay, very good. Thank you.
Operator: The next question comes from the line of Chetan Udeshi from JPMorgan. Please go ahead.
Chetan Udeshi: Hi, thanks. A couple of questions for myself. Number one is do you think – or is there a way for you to estimate how much you might have seen a benefit in terms of your salt business from outage from one of your competitors in the U.S. in Q3 and even in Q4 if you see that benefit at all? And the second question is
Burkhard Lohr: Sorry, one by one, please.
Chetan Udeshi: Yes.
Burkhard Lohr: So the bids are done. So we know what we have – the orders that we have in hand in terms of volume and price. And if one of our competitors who have won another bid are not able to deliver, then they will ask us for more volume. But it’s impossible to predict an impact for us.
Chetan Udeshi: So you didn’t have – you don’t think you had an impact in Q3 at least?
Burkhard Lohr: No, no.
Chetan Udeshi: Okay. And second question is given the cost guidance on the potash production for next year, it seems all of the delta maybe compared to, say, the expectation earlier this year to now in terms of cost increase seems more in German plants. Or do you think there has been a change in terms of cost per tonne production targets even for your new Canadian mine in Bethune? And can you remind me what is the target cost for Bethune? Thank you.
Burkhard Lohr: Yes. The inflation and extraordinary inflation items are more a German topic. And you know that we have the biggest cost item of cost of production in Canada is natural gas. And as Thorsten earlier said, we have hedged this even into 2022, not the whole volume but a good portion of that. And so inflation is not a big issue in Bethune. But of course, Bethune has a significant positive impact on our average cost of production, not only due to the fact that second – primary mining is cheaper than here in Germany. But the secondary mining that we start next year, that has a huge impact. But all in all, inflation volumes that we expect, et cetera, we will be slightly above €200 still in 2019.
Chetan Udeshi: And what is the target cost structure for Bethune? Like do you guys have a name to get to some specific cost per tonne in Bethune specifically?
Burkhard Lohr: Yes. We still stick to the indicated number years ago of CAD 90 fully ramped up, pure – own production costs. So you cannot compare this with the €200 because it’s not a set-up. But you can find the entire set-up on – in our compendium as well.
Operator: The next question comes from the line of Markus Schmitt from ODDO BHF. Please go ahead.
Markus Schmitt: Yes, good morning. I have just one question regarding your bond which is due in December. Will you use your RCF to redeem the bond? Or is there a short-term issue plan, for instance, a promissory note loan? Because I think in the past, you prefer to keep the RCF as a backup line.
Thorsten Boeckers: No. I mean, we have in July issued a bond of €600 million, and this was always the plan to refinance the bond in December with this money. And when you look at our balance sheet, taking cash and short-term security or any investments together, we have the money on the balance sheet. And so – for that purposes, we have the money.
Markus Schmitt: Okay, good. Thank you very much.
Operator: Okay. We have no further questions coming through. So I will now hand you back to Dr. Burkhard Lohr for the conclusion of the call. Please go ahead.
Burkhard Lohr: Yes, thank you all for your attention. Thank you for being interested in our news. Granted we have a difficult quarter behind us, but I think what we’ve discussed shows there’s good reason to be optimistic for the short- term future of K+ S and especially the long-term future. And I’m looking forward, and Thorsten as well, and the K+ S team here in Kassel to see you to the one or the other occasion again. Thank you, and have a good day. Bye-bye.
Operator: That concludes today’s conference. Thank you for your participation, and have a pleasant day.